Company: Kurt MacAlpine – Chief Executive Officer Amit Muni – Chief Financial Officer 
Operator: Welcome to the CI Financial Fourth Quarter 2021 Earnings Call. My name is Emily and I will be coordinating the call today. During the presentation, you have the opportunity to ask a question . I'll now hand the call over to our host. Kurt MacAlpine, CEO of CI Financial, please go ahead Kurt.
Kurt Macalpine: Good morning everyone and welcome to CI Financial fourth quarter Earnings Call. Joining me this morning is our CFO, Amit Muni. Together we will cover the following topics. Discussion of the highlights of the quarter and the year, a review of our financial performance during the quarter and the year, an update on our sales to date for the first quarter, an update on the execution of select items of our corporate strategy, then we will take your questions. 2021 was a record year for CI across every major financial metrics, initiatives tied to our strategic transformation are driving growth in all our business lines, resulting in significantly stronger earnings and cash flow metrics. Adjusted EPS was $0.87 for the quarter and $3.15 for the year, which is a $0.68 or 28% increase over 2020. We also delivered record revenues, record EBITDA, and record free cash flow. We continue to take a dynamic approach to capital allocation. During the quarter, we deployed 627 million toward M&A across ten transactions. These heightened levels of activity, we're driven by two factors. We continue to be the preferred partner of choice for the highest quality RAAs in the U.S. And there was a desire for many entrepreneurs to transact in advance of potential tax law changes, which pushed heightened deal activity into Q4, 2021. We returned $20 million to shareholders through the repurchase of nearly $1 million shares and $36 million through our regular $0.18 quarterly dividend. For the full year, we balanced capital deployment between our strategic transformation, buybacks to take advantage of the valuation disconnect we see in our stock, and maintaining our existing dividend policy and credit ratings, 2021 was also a record year for asset covering. Asset Management net flows, were roughly break even in the fourth quarter. But we finished the year with positive net sales, for the first time since 2015. This $9 billion year-over-year improvements, was a direct result of the transformation we've been undertaking in this business since 2019. Our wealth management businesses, on both sides of the border, generated strong organic growth, contributing $6.3 billion of net flows in 2021, a record year for our wealth businesses. We also continue to make progress against our three strategic priorities. During the fourth quarter we closed eight U.S. RAA acquisitions and made two strategic investments, adding 49 billion of client assets. These transactions have added scale to our U.S. business. Deepen our capabilities in serving ultra-high net worth clients, and expanded our alternative investments offering. I will now turn the call over to Amit to review our financial results.
Amit Muni: Thank you, Kurt. Good morning, everyone. Turning to Slide 4. Our global Assets increase to $384 million at the end of December. The increase was from a combination of positive markets and net inflows into our Wealth Management segment. In addition, we closed on the acquisition of 10 RIAs, heading $49 billion of client assets in the quarter. Turning to the next slide, I'll focus my comments on our adjusted results. This asset growth translated into adjusted revenues increasing to $737 million. Adjusted EBITDA, reaching a record $277 million and adjusted net income of a $171 million. Our adjusted EPS was $0.87 per share for the quarter, up 9% from Q3 and up 23% from the quarter last year. On the next slide, we can review our annual results. Adjusted revenues increased 31% to a record $2.7 billion and EBITDA grew to $1 billion, adjusted net income grew 20% to $635 million and adjusted EPS grew 28% to $3.15 for the year, reflecting the benefit of share buybacks. Turning to Slide 7, we can take a deeper dive into revenue changes in the quarter. Total adjusted revenues increased by $45 million as compared to the third quarter. Fees  Asset Management business increased slightly and Wealth Management businesses by $16 million primarily due to higher than the segment. Other income increased by $12 million, primarily due to year-end recognition of performance fees, as well as distributions from seed capital in our funds. On the next slide, you can see the changes in our adjusted expenses. On a comparative basis before additional SG&A expenses from acquisitions not owned for the full periods, total expenses increased slightly from $492 million to $499 million. SG&A increased by 5 million driven largely by year-end compensation true-ups, particularly on our U.S. RAA side and higher marketing and advertising costs to support our Canadian business. Dealer fees increased by $2 million, reflecting higher payout associated with stronger revenue generation from our Canadian Wealth Management businesses. We had $10 million of additional expenses from acquisitions completed in the quarter. We remain disciplined on costs, balancing it with investments to support our strategic initiatives. On Slide 9, we can review our capital priorities. We generated strong free cash flows of a 179 million for the quarter. We deployed 20 million for buybacks and 36 million for dividends. Given our commitment to our investment-grade credit rating and in anticipation of the number of M&A transactions that we're closing at year-end, we paused our share buybacks. The strong cash flows generated by our business allows our capital management strategy to remain flexible. Balancing investments in our strategic priorities with share repurchases and debt repayment. Turning to the next slide, we can review our debt and leverage. At the end of the year, we had approximately $3.7 billion of debt outstanding on a gross basis, or $3.4 billion in our net leverage -- and our net leverage was 3.1 times based on our annualized fourth quarter adjusted EBITDA. As we discussed on our last call, we expected debt levels and leveraged to increase, given the number of transactions that closed during the quarter. However, we expect the leverage over time as we generate earnings from the businesses we acquired, as well as paid down debt. Currently, our net leverage is approximately 2.8 times down from year-end. Slide 11 looks at a breakdown of our acquisition liability. When we close on an acquisition, we typically have deferred payments and earnout considerations. Deferrals are generally paid in 90 to 270 days. Earnout are only paid if the acquisition generated growth stronger than prior to joining CI. We show the expense and liability from recording the earnout. However, we are not yet showing the positive financial impact generated by the acquisition. Lastly, as we discussed last quarter, we granted put options in certain transactions that can be settled for cash or equity. With the launch of CIPW -- of the CIPW partnership, we estimate $375 million of the RAA obligations will be settled in CIPW units, leaving an estimate of cash settlement amounts of $536 million. Lastly, I would like to update you on some financial reporting changes we will be making. Turning to the next slide. Starting next quarter, we will be changing our reporting into three segments. Canada Asset Management, Canada Wealth Management and our U.S. business. We believe this change better reflects how our businesses currently being managed and provide more transparency into an important part of our growth strategy. In addition, we will be changing the reporting format of our income statement. Prior to our next earnings call, we will publish our 2021 results in our new reporting format and segments to allow for easier compatibility. Thank you. and looking now, turn the call back to Kurt.
Kurt Macalpine: Thank you, Amit. Slide 14 provides a recap of our corporate strategic priorities. As highlighted earlier, Asset Management net sales were roughly breakeven for the quarter of positive 300 million for the year, representing the first positive year since 2015, and a sizable reversal from the 89 billion of outflows in each of the prior three years. Looking specifically at our Canadian retail channel, which represented the largest driver of the turnaround. You can see from the chart on the bottom of the slide at gross sales grew and redemptions fell. On a year-over-year basis every quarter in 2021. The improved results is a direct outcome of the initiatives we've undertaken over the past two years to modernize our business and position the platform for sustainable organic growth. We made a series of structural, strategic, and tactical changes to our product development process and has positioned CI as a driver of industry innovation. Newer product initiatives generated nearly $950 million of net sales in Q4 and $4 billion for the year. And we believe we are well-positioned to capitalize on trends going forward. 2021 represented a record year for asset gathering across all of CI 's businesses. In aggregate we raised $6.6 billion of new client assets, a greater than $13 billion improvement from 2020. Our wealth business generated $6.3 billion of client inflows, with strong contributions from our U.S. RAAs and our Canadian wealth platform. As a reminder we only owned many of our RAAs. This slide provides an update on our January asset inflow levels. We were in net redemption's in January so I wanted to provide context beyond the headline numbers on the slide. January has not been a historically strong month for CI in fact, it has been the worst flow month in each of the past 3 years, excluding dislocations from the pandemic. A large driver of the outflows to start 2022, have been thematic ETFs, which contributed $315 million of the Canadian retail redemption's. Which was driven by a $195 million in redemption's in our physical gold front. We launched these funds specifically to compete in asset classes were investors are allocating capital with that comes potential periods of volatility and redemptions. Looking past this, flow trends in our business continued to show year-over-year improvements with Canadian retail improving by $315 million over last January. The U.S. Asset Management Business continued to experience strong organic growth with a $179 million in net flows in the month. The fourth quarter was an active finish to an extremely successful year as we added several high quality firms and significant scale to our U.S. business. We close the 8 RAA acquisitions during the quarter, adding USD of 34 billion fine assets, expanding our geographic profile, and enhancing our capabilities. Leading RAAs continue to choose CI as their preferred strategic partner, as evidenced by the firms that joined our platform this quarter. In addition, we made 2 strategic investments to enhance our alternative capabilities and better serve our high and ultra-high net worth clients. In January, we officially launched our CIPW partnership. With nearly 200 partners, the leaders of our various RAAs are now strategically, culturally, and financially aligned to deliver profitable growth and exceptional client service across our national platform. This partnership model and its associated features which I touched on during last quarter's earnings call is very unique in the marketplace and a key differentiator for CI. We're fully committed to achieving our goal of building the leading ultrahigh net worth and high net worth wealth management business in the U.S. While we're excited about the progress that we've made to date, we are just getting started. We will continue to scale through strong organic growth, and acquisitions of the highest quality, fastest-growing RAAs that share our vision. We will continue to expand our capabilities to provide clients with the highest level of products and services. And we will work to integrate the platform driving both revenue and expense synergies. As we entered 2022, our platform of 25-plus firms, is a fiduciary to more than a $150 billion, of client assets. In addition to a solid organic growth profile, platform, economics are attractive with roughly 50 basis points revenue capture on assets, and 36% EBITDA margins. To be clear on the margins, a U.S.. Wealth Platform is operating at roughly 40% margin with the consolidated margin lower due to the institutional asset management business that we own in the U.S.. In January, we announced the acquisition of Northwood family office. Northwood is Canada's leading multi-family office, averaging over $2 billion of client assets with household networks of approximately $9 billion. Combined with our existing Canadian Private Wealth business. We are positioning ourselves to build the country's leading high net worth and ultra-high net worth wealth management platform. Just this morning, we announced the acquisition of Korean Capital Partners, incredibly fast-growing I billion-dollar Newport Beach RAA, focused on ultra-high net worth clients. According has a young dynamic team who are staying with the business and becoming partners in CI Private Wealth. In 2021, we generated a 180 million of Wealth Management segment, EBITDA, with a number of larger transactions having little or no impact given the timing of deal closings. Including the deals that closed at the end of Q4, North hoarding Corrine's, which were both announced this quarter run-rate adjusted EBITDA for Canada Wealth Management segment is now 302 million. This is a $285 million increase since we initiated the strategy at the beginning of 2020. Consistent with prior quarters, I want to be clear that this is not a forecast. This number only includes our current interest in these companies and does not include any growth or market assumptions. It also excludes any strategic or cost synergies, asset management product sales, business model improvements, or planned but unannounced transactions. We are confident that meaningful synergy opportunities exist, but we prefer not to give guidance. Before opening up the call to your questions, I want to take a brief moment to recap some of the noteworthy milestones of 2021. As I mentioned earlier, it was a record year for CI across every major financial metric. In asset management, the steps taken over the past 24 months to modernize our business have led to a dramatic reversal in net sales trends. Our Wealth Management segments ended the year with assets that were 1.5 times greater than our Asset Management segments. Our U.S. Wealth Management Business, a business that did not exist two years ago, is our single largest business unit by assets. Given the scale we achieved in the U.S. and the strategic importance for the firm, we established a U.S. headquarters in Miami to oversee the continued scaling and development of the business. From a capital perspective, we reduced our share count, locked in low rate long-term debt and significantly diversified our bondholder and shareholder basis. CI is a fundamentally different company today than 12 months ago and much better positioned to drive sustainable, diversified, profitable growth. With that, we'll open up the call for your questions.
Operator: Thank you very much. If you would like to ask a question,. If you change your mind on wish to Witco your question from the queue,  When preparing to ask your question, please ensure that your device is unmuted likely. Our first question today comes from Robert Lee from KBW. Robert, your line is open.
Robert Lee﻿ ﻿: Great. Thanks. Good morning, guys. Thanks for taking my questions. Maybe the first one, just focusing on the Wealth Management EBITDA in Q4. I know you mentioned there were some maybe comp accruals and whatnot, but didn't have kind of that 6% decline. And just I was wondering if you can maybe flesh that out a little bit more with the -- mainly the comp accruals, and how should we think about kind of go for profitability of that segment from here?
Amit Muni : Hey Rob it's Amit, yes, as I mentioned, as we got to year-end, RAAs had a very strong performance year and we did have some, fourth-quarter true-ups, for compensation I would say, going forward, I would expect that to be a little bit smoother and probably better accrued throughout the year. And as we mentioned in the prepared remarks, the profitability of the U.S. RAAs business remains very attractive, closer to the 40% margins. And in addition, we've had a number of deal closed set 1231, and to that will increase earnings on it. As we enter into 2022 as well. So I think it's just a little bit of noise in the fourth quarter that should smooth it-self out beginning next year.
Robert Lee﻿ ﻿: Okay, thanks. Then maybe sticking with the private wealth segment, I just want to make sure I understood on slide 11. So the 536 million of anticipate cash insist. Excuse me, anticipated cats to be settled. So was about a 150 million of that settled for CIPW units post year-end or was that 536 kind of already accounting for what was going to be settled in units so just trying to --
Amit Muni : Right. The 375 is what we estimate will be settled in CI  units starting on January 1st, the estimated cash amount that we have remaining will be about 536. That's predominantly, deferred consideration that we're going to play on the understand actions, as well as the estimated earnout payments.
Robert Lee﻿ ﻿: Okay. And is there any color on like how we should expect that those payments to flow over the next couple of years? Is it kind of spread evenly or is there any kind of timing we should be thinking about from a cash usage perspective?
Amit Muni : So it's a -- I'd say, over the next 2-3 years, our deferred payments generally go from 90-270 days. Earn-outs can go from 18-36 months. So you can think about that general timeframe.
Robert Lee﻿ ﻿: Great. And then maybe on the balance sheet. So I know you mentioned deleverage some in January with paying down about a $116 million. But how should we think of the trade-off between deleveraging and given where your stocks trading, how you're thinking a share buyback and then obviously with the recent deal announcements, so any thoughts on intermediate term targets and where you think the leverage ratio, that you made, maybe targeting or where it will fall out, how you're thinking of, the interplay particularly debt reduction in buyback given recent deals.
Amit Muni : Sure. And Robert, it's -- pretty responded to this one. In 2021, we bought back $17.5 million shares taking advantage of the disconnect that we see in our share price than what we're trading at. We did temper the buyback back as we headed into November and December, anticipating closing all of these transactions. So as you've heard me say before, very sensitive to and conscious of our credit rating, recognizing that we had elevated cash needs in December. We did scale back the buyback to fund those transactions and have continued that through the early part of this year, tends to be reduction to 2.8 times net leverage. Looking forward, I think you'll continue to see us take a dynamic and balanced approach to our capital allocation. We're in the range now where we're comfortable. So I think you'll see a combination of continued delivering over time, which is what we're committed to do while taking advantage of this disconnect in strategic opportunities. But I think where we're at now, provides you some reasonable guidance to how we're thinking about it.
Robert Lee﻿ ﻿: Okay, thanks. And then one last one if you can indulge me on the private wealth partnerships. So just curious with the Coriant, I guess -- I think that's how to pronounce it -- announced today, so did they -- will they be getting that equity at closing? Is it -- on deals -- at this point, is there even an option for cash option versus getting CIPW equity? And then I'm also curious with the volatility of the first 2 months of the year, clearly an impact of Coriant, but how has that maybe impacting the overall pipeline in the RAA segment? Is it slowing it down? Is it really not having much impact?
Kurt Macalpine : Sure, first off, on , which is which is true for any transaction that we do, there's a combination of cash, and partnership units that get delivered at closing. What Amit had talked to you through as it relates to the acquisition-related liabilities, there's an assumption there at those future payments are paid in cash, but there is an operator. Opportunity at that point in time for individuals to take those payments in partnership units as well. So the Coriant partners would becoming partners on day one at close. And then as those future payments come through, they would have an opportunity to increase their ownership in the partnership overall, which is truly like I said for all transactions that we've done. Q1 2022, we have  anticipate closing any major transactions, both Northwood and Coriant will close in Q2. As I mentioned before, the pipeline is robust. It's definitely a little bit more moderated than what we saw last year. People were getting in front of potential tax law changes which pushed a lot of the activity through to Q4. But we are engaged in a series of high-quality conversations at the moment, I would say the pipeline itself is smaller than last year but it's not smaller than what we had anticipated, seeing the activity get pushed or pulled forward into 2021.
Robert Lee﻿ ﻿: I mean, does the market volatility change I guess your expectations versus buyers? Obviously it's only been two months and things move quick, but if that's a levels are kind of coming down, is there -- are you finding there's a little bit more of a disconnect or building disconnect between what an RAA may --
Kurt Macalpine : We haven't seen it yet. I think we haven't seen it yet. The trends that we've seen towards strategic alignment, the consolidation in the industry, I believe, are structural, not cyclical, so you might see some firms, choose to sit back and wait and ride-out potential market volatility, however short or long that net plans to be. I haven't seen anything in our pipeline change course of timing as a result of it, but we'll see if some firms rethink their plans, I guess, in Q1 and Q2 as a result of it. But from our perspective, it's mostly structural changes. We think it's going to persist. And if someone pairs back a quarter or two, I don't think that'll change their decision to find a partner, and I think if they do want to find a partner in the highest quality, I feel very good about our ability to attract them to CI.
Robert Lee﻿ ﻿: Great. Thanks for taking all my questions. Appreciate it. Thanks.
Operator: Our next question comes from Geoffrey Kwan from RBC Capital Markets. Geoffrey, your line is open
Geoffrey Kwan﻿ ﻿: Hi, good morning. On the RAA strategy, I'm just wondering, is there anything from an earnings or margin or other type of financial disclosure you can provide, or maybe plans to provide this year to help investors determine the value equation that you have in the U.S. Wealth segment?
Kurt Macalpine : Next quarter, we'll be breaking out the us business overall. We will be disclosing some operating metrics that are driving that segment as well. We did give a little bit of color. This quarter we talked about the operating margins on the U.S. segment? We talked about the revenue capture. So there will be a few more data points that we will be giving next quarter prior as I mentioned prior to us releasing our results will, put out some historical information for everyone so that we will make it much easier for you to look at the comparability. Just keep an eye out for that in the coming months.
Geoffrey Kwan﻿ ﻿: Yeah, I mean, I guess it's a little bit difficult because obviously we wouldn't know the financial of the assets that you're buying to determine whether or not there's synergy accretion as opposed to just business mix of the assets that you're buying is what's driving the margin now to a certain extent. So I mean, is there disclosed you can provide on that front, like I said, that can help people understand it or -- also just at the moment, can you talk qualitatively around what has been done and what needs to be done to drive the value creation of the strategy?
Kurt Macalpine : Sure. On the revenue front, Geoffrey, as we've shared, we delivered $6.3 billion in net flows in our Wealth Management Business with the U.S. business being a huge contributor of those flows. So from a top-line growth perspective, we are achieving great growth. If you link those numbers to the acquisition-related liabilities that Amit had talked to earlier, the contingent considerations and that number is specifically tied to businesses performing at a better rate than what we had anticipated prior to the transaction happening. I think that there's two proof points there that speak to the revenue growth of the business overall. From an operating synergy perspective, we have a number of initiatives underway that I'll talk about more next quarter around additional services and capabilities that we're providing to our clients. So we've established CI tax function. We performed bill pay family, office services, which we can get into in more detail, which provide great value for clients and additional revenues for CI Private Wealth. And then we launched our partnership on January first of this year, and -- so now, everyone in our U.S. business is sharing the same common equity as partners together. And as I highlighted on the last quarter earnings call, there is an economic incentive to run that business to grow it faster and run it very efficiently. So I think that there is series of different proof points that we've outlined so far. And on this point, we'll share even more as we continue to go.
Geoffrey Kwan﻿ ﻿: And just my last question was, on the retail side or just overall, do you have a February month to-date net sales number and then just looking ahead into 2022, the retail funds have had much better performance over the past year, which should help. But can you talk about I guess your level of confidence and  generate positive net sales in the Canadian retail segment? If you also include the close trends in that figure.
Kurt Macalpine : Sure, February we don't have a number to disclose at this point in time we just like to keep it consistent, on a quarter-over-quarter basis but soon as the quarter wraps up very shortly thereafter we will disclose quarter flows for the entire quarter. As I look forward at 2022, as you know, I don't like to give you guidance because I think often times there's an element of guessing there. What I am very excited about though, is the strategic changes that we've made to our Asset Management business, which I think are directly responsible for the $9 billion turnaround that we've experienced in our flows. So you mentioned our investment performance has been. Improved considerably on a year-over-year basis. And we believe that's attributable to us taking an antiquated multi-boutique model, creating an integrated global investment management platform with a centralized approach to research asset allocation, portfolio construction, trading, risk management, compliance oversight, and everything that comes along with it. So when I look at the changes, whether it's those changes, the new approach that we've been taking, the product development, which is a large driver of our flows. The incorporation of predictive modeling and data intelligence into our sales and marketing process, it feel like we're very well-positioned to continue to drive growth for the business going forward.
Geoffrey Kwan﻿ ﻿: Okay. Thank you.
Operator: Next question comes from the line of Tom MacKinnon from PAMA Capstone. Tom, please go ahead.
Tom Mackinnon : Yeah. Good morning, and thanks for taking my questions. Just with respect to Slide 11, I'm trying to get a -- if you can give us any idea as to how much of that number may have moved in the quarter just as a result of cash that was paid or deferred consideration, the contingent consideration? And then how we should be looking at that thing, that number perhaps going forward? And then as a follow-up, if you can talk about the buyback were tempered in the fourth quarter, was it because of some of these consideration payments? And now that you've got the new partnership structure in place, how should we be thinking about buybacks going forward, especially since you're new share prices have been certainly lower than the price that you were buying it back in the fourth quarter. Thanks.
Kurt Macalpine : For sure, Tom. So we did make deferred payments on some acquisitions in the fourth quarter. We don't disclose particular amounts of those because we don't give individual details of transactions. And as -- when you look at on a future basis, there will. We'll continue to defer payments that we make on transactions that we've already closed. I mentioned somewhere between 18 to 270 months, we generally make deferred payments and so how do we think about that ending balance, will be paid out over a period of time of the next two to three years. The estimated earn-outs will fluctuate based upon the performance of the acquisitions of the again, the higher the number, that means that businesses are performing better than what we had planned. And then Tom,  here on the second as it relates to -- Go ahead.
Tom Mackinnon : I was just going to ask yet there how it relates to buyback activity that's sort of with measured in the fourth quarter but how we should be thinking about that?
Kurt Macalpine : I mean, I --
Tom Mackinnon : Share price.
Kurt Macalpine : I mean, we take a dynamic approach to capital allocations. I mentioned we purchased $17.5 million shares in 2021. We did temper it back as we made the decision that it made sense to pursue the acquisitions or the 10 acquisitions that we had executed in the quarter. So that's put us at a very specific point in time, at a leverage level that was. And the elevated relative to where we'd like to be. And the trade-off that we made as a result of that was to temper the buyback used the cash to deliver and we continued that through the first few weeks of this year, which is what  drive the number from 3.1 to 2.8, where we stand today. So we're going to continue to look at it. As you've heard me say many times, I do feel there's a criminal disconnect in the value of our stock price relative to what we think it's worth and I think that as long as that disconnect exists, you can have confidence that at CI will be a buyer.
Tom Mackinnon : Yeah. As my first question has to do with or as a follow-up really just on the Wealth Management flows. I appreciate the additional disclosure because these -- because I think really it's best to look at CI in terms of total flow is not just asset management, but also these Wealth Management flows, especially if you're getting these 35% to 40% margin on this business. So do you have any idea as to how you might be able to tell us how the Wealth Management flows during the fourth quarter of 2021,and then just as importantly, what they were in January,? Because all you're disclosing now is Asset Management net outflows in the month of January, but I'm sure there must have been some sort of positive with respect to the Wealth Management flows that you would have had for the month of January. So anything additional you could provide there would be great.
Kurt Macalpine : Sure. So we don't break out today Wealth Management flows by Quarter, something as we think about re-segmenting the business, we'll take a look at, not a lot of firms in the wealth space, really disclose flows, we're taking a bit of a unique approach here and it's perfectly reflective of the point you mentioned If we're generating 40% margins on this business, it makes sense for us to disclose the flows because the economic impact is pretty similar for us as a dollar of passive management flows. Specifically as it relates to January, we haven't disclosed, but our wealth management business was positive and a positive contributor which continues to grow nicely in 2022.
Tom Mackinnon : And was it -- was it positive in the fourth quarter as well both Management flows where they are?
Kurt Macalpine: Yes fourth-quarter.
Tom Mackinnon : Yeah. Okay. That's great. We'll look forward to the additional disclosure here. Thanks.
Kurt Macalpine : Thanks, Tom.
Operator: Our next question comes from the line of Nik Priebe from CIBC Capital Markets. Nick, your line is open?
Nik Priebe : Yes. Thanks. Instead, a pair of questions on the evolution of your capital structure. So you're net leverage subsequent to quarter end is 2.8 times. Following a partial repayment of the credit facility, If you were to assume that all announced but not yet completed transactions, close and all cash settled, deferred and contingent consideration, was funded by incremental debt. We would that take your leverage ratio on a pro - forma basis.
Kurt Macalpine : Yeah. So Nik, that's a hypothetical. And quite honestly that pattern doesn't quite -- stuff that we would probably do to say that all future payments are funded by debt. We are as -- we have a very strong cash flow generating business. So I would rather not speculate on what something could look like. Yeah, the other piece Nick, which I'll mention as it relates to leverage, two things were unusual as a snapshot on December 31st. One was the fact that we did 10 transactions in the quarter as I mentioned that was, a number of the highest quality firms pulling forward their process, which probably would have played out through 2022 into 2021. And then we accommodate where we could, sequencing of payments just as a result of potential tax law changes. So I think the two things that you'll see in 2022, a more moderated M&A environment which I feel like we're very well positioned to continue to drive in, but then also a more normalized structure for the sequencing of payments, as Amit had mentioned. So the combination of those 2 things, given the snapshot of where we are from a leverage perspective today, and looking at those elements should keep us in a very good place.
Nik Priebe : Yes, okay. Fair enough. And then one other question that I received from investors from time-to-time is, what is the endgame for the acquisition strategy? When you think about this from a longer-term perspective, do you have a target earnings mix in mind that you'd like to see? Would you like to see the Asset and Wealth platforms being roughly equal contributors to earnings? What is the ultimate objective, you'd say, you're aspiring to achieve there?
Amit Muni : Yeah, I don't think we think of the business specifically looking to get to a certain outcome and stop. I think what we wanted to do strategically when we started was to better diversify our business, which includes diversification from the earnings sources from Asset Management to Asset Management and Wealth Management, and geographically diversify tells as well, not be solely reliant on opportunities that could percentage in the Canadian marketplace to broaden our aperture beyond that, I think if you looked at where we stood on January, 1st 2020, we had a business that was entirely Canadian and we had an asset manager that I believe was tripled the size of our Wealth Management business. We closed 2019 contributing $17 million of wealth management earnings and are now our run rates $302 million. So the momentum and the velocity of the shift that we've made in the business is obviously very exciting, were fundamentally a different company today. So I think it's hard for us to say. Here's what we think it's going to look like and stop. I think the goal is continuous evolution and continuous improvements. I mean, we've done a lot, but we're really in the first inning of what we want to accomplish with the business strategically.
Nik Priebe : Okay. Alright, that's it for me. Thanks for taking my questions.
Amit Muni : Sure.
Operator: Our next question comes from Graham Ryding from TD Securities. Graham, your line is open.
Graham Ryding : Good morning. The CI Private Wealth model you mentioned, when you structure incentive -- structure incentivizes partners to collaborate and realize synergies. Can you give us some examples of like what you would like to see in that area from this partnership model?
Kurt Macalpine : Sure. So I mean, the major difference between this model and other models that exist in the Wealth Management space is it's not a collection of advisors using a platform that's actually private partnership. And it's not a situation where a bunch of people own  equity in their business with CI as a common owner are actually all owning same equity in the same units. So people are fully what we describe as strategically, culturally and financially aligned, whether that's working together to accelerate growth of the overall platform, whether that's collaborating strategically, to expand the services and support that we're providing for our clients. or whether that's taking advantage of opportunities to synergize. And as you can imagine, we've been 25 + transactions. Every single one of those businesses was designed to operate as a freestanding business. And now we're operating as one collective business, so that creates some natural opportunities on the synergy front as well. This partnership piece, I can't stress how important it was for us to do this and how much of a strategic differentiator this is relative to everything else that exist in the market place, and I think that's evident in the velocity of growth that we've experienced, the quality of firms that we've had, and then the flows that we've seen and even the growth in contingent considerations, just as these businesses have performed beyond expectations since coming to CI.
Graham Ryding : Understood. And when you use CI Private Wealth equity for these contingent consideration payments do disclose on a RAA with valuation the news behind that.
Kurt Macalpine : We don't, no we don't disclose that valuation but not surprisingly, it's nowhere near where CI excess trading.
Graham Ryding : And then what about, either conditions in the assumptions you use when you are there determined it's valuation when we're determining the extent that we want to use CI private wealth shares versus celery in cash. How do you work that out?
Kurt Macalpine : Sure. So in terms of coming up with the valuation, so I believe I touched on this last quarter, but we have a formulaic approach to the valuation. I haven't shared the specific formula. But if you look at what drives out sized business valuations, it's a combination of the scale you have, how fast you grow, and the margins by what you operate your business. So you can imagine those being factors as a result of that. Anytime that we're allocating partnership units it's a combination of quantitative and qualitative. It's our incentive to make sure that the partners that are joining the business are perfectly aligned with what we're trying to achieve strategically. So to me it's -- it's a huge positive when people want to lean in and take a meaningful portion of a transaction. And then a meaningful portion of their net-worth in these particular partnership units. So we do have a learning and development function. We do have partner election criteria because this partnership is designed to not only elect partners at the point of transaction, but to do so on an ongoing basis as people navigate and work through their careers. But what I would say is that if we wouldn't be pursuing a transaction, if we didn't feel that the caliber of the people in the business would warrant being partners. I know you see a lot of firms that are buying wealth businesses strictly for financial engineering or financial opportunities. We're really looking at quality growth mindset of the individual. So if we came through our process and said that might be an interesting business, but we really don't want these people as partners. We would just pass on that business. I don't think it's worth it for us over the medium and long-term.
Graham Ryding : Okay. I've got two small I guess housekeeping questions I there's $125 million of additions to other assets in the cash flow statement or whatever that relate to. And then the lower minority interest number on the balance sheet, quarter-over-quarter what drove that?
Amit Muni : Sure. So the other assets, we made a couple of investments this quarter GLASfunds and Columbia Pacific. So those are minority investments. We also had a slight pickup in one of our strategic investments that we made. So that's just primarily driving the other assets and the minority interest is just the change that we're seeing in the minority that profitability of some of the subs that we have that we don't own a 100% of.
Graham Ryding : Okay. That's it for me. Thank you.
Operator: Next question comes from the line of Scott Chan from Canaccord Genuity. Scott, your line is open.
Scott Chan : Good morning. Currently, you talked about the valuation being criminally disconnect, and I think devaluation is -- it's kind of lower than where was that 2 years ago. Based on the last 3 months. And I think you answered a question on the end game, but what about a short game? Because of that disconnected the board and yourself looked at any options to potentially agreed value on the U.S. business?
Kurt Macalpine : Yes, it's a great question, Scott. I mean, as you articulated, we do feel we're criminally undervalued the way we are trading today. And I think that's becoming even heightened as we've continued to rapidly transform our business, I'd say the disconnect perfectly as you summarize today is even more prominent, than what it was in the past, it's crystal clear that we're not getting credit, for the shift of our business to the U.S. nor the rapid growth of our Wealth Management business given where we trade in businesses with that profile, ultimately trade. What would say is that without providing a whole lot of details into the thought process with over 300 million in run rate Wealth Management EBITDA, we do have a lot more strategic flexibility than what we had a year ago. And I do think that flexibility, for what the business construct looks like, will increasingly be the case as we continue to execute against our strategy. So there's certainly -- we're here to maximize shareholder value. Certainly a lot of options that exist. And like I said, even more so than what we've had in the past, given the rapid growth the Wealth Management earnings that we've -- we've seen over the past few years.
Scott Chan : And over the last few weeks, I've seen like Ford lastly, talking about spinning out, it's II-VI business another pure comps then you have the dos management in Canada. Is that something that you might entertain in terms of looking spin-off of U.S. as I believe the U.S.. market probably appreciates the business more. Higher than what we see in Canada.
Kurt Macalpine : So I think you're right in terms of the U.S. marketplace, clearly appreciate the business for when you look at the blended multiple, we trade at relative to what comparable businesses would trade at in the U.S. marketplace. And then strategically, we look at all options. I mean, there's a variety of different things that we could pursue. And if we don't have an ability to get our shareholders the value that exists as one integrated company. We, we're certainly open to taking different paths to unlock that value.
Scott Chan : Okay. And then maybe just on the rule of thumb. I think we talked about this last quarter, but you've made several transactions since. Is there a rule of thumb on what is getting settled with cash versus CIBW structured units or maybe like an assumption going forward as you kind of talked about that structure being more attractive and people converting that into the structure as well.
Amit Muni : So any of the deals that we're doing now, now that we have the CIPW structure set up to benefit as we can use cash pluses to plus the equity of CFA EDAP PW. And so it's the nature of the firms, the attractiveness, how much ownership that we want them to have, and the overall business to keep them incentivize as Kurt spoke about. So I wouldn't say there's a fast rule of thumb. I think one of the benefits of CI is that we're extremely flexible, unable to meet the desired RAs, that's fits our needs as well.
Kurt Macalpine : Yes, Scott. One, just add one nuances. In order to be a partner of CI Private Wealth you have to be a contributing member to the business overall. So thumb, at this point, we don't have specific guidelines and rules because every personal circumstance is different but also every cap table looks a little different. So if there's passive investors, call it retired employees, whether there is private equity firms or other sources of capital sitting in the cap table, all of that stuff gets cleaned up at the point of the transaction. So whether the aggregate numbers, a large one or medium-sized one, what we're really focused on is the personal level, how meaningful is the investments to the individuals, and CI private wealth and is the alignment that we're looking to get out of it and I think it's just important to look the needs, the aggregate number, and look at the individual ownership and percentage that they're rolling.
Scott Chan : And then when you disclose you provided was the average fee rate on revenue is about 50 beeps. Saw I thought in the past it was higher. But is it more of a function of you moving up, define spectrum in terms of high net worth and ultra-high net worth. That's driving that.
Amit Muni : Yes, exactly. So the two things driving at one that doesn't include our institutional business, which is why, I specifically flagged the 40% versus the blended 36 because they wanted people to understand the nuance and the driver, and then secondly yes we've moved our platform, in addition to the institutional business considered up markets. And as a result of that, the fee capture tends to go down as you work your way into serving billionaire families and household. So that's a function of really those two things.
Scott Chan : And last question, you disclosed the wall flows, then that flows, I think over $6.6 billion for 2021, but it's still pretty low compared to the growing installed base. A lot of the transactions get close towards the back-half of the year, specifically Q4. And you've probably integrated and provided some incremental value that should push that higher. Is that the right way to think about it? Like $6.6 billion is pretty low and you've got more opportunity there  Asset Management.
Kurt Macalpine : I wouldn't say it's low. I think it's a function of exactly what you mentioned is if you're taking a year-end snapshot of the business, it's not reflective of how long we've owned those businesses. We do have organic growth in the Wealth Management business of 6% for the year or which like I said, very few firms will actually disclose, and I think for those that do, that's a very attractive number. That excludes any market movement, any M&A, any acquired teams or sub acquisitions, that's just a straight net new client growth number.
Scott Chan : Okay. That's fair way to put the thank you very much.
Operator: Up next, we have a follow-up question from Q - Graham Ryding from TD Securities. Graham, your line is open.
Graham Ryding : Just as you use the CI Private Wealth shares and more of the currency going forward, are we going to see an impact on that non-controlling interest line on your consolidated results?
Kurt Macalpine : Yes, we would because we own the majority of CIBW, but there will be a stub piece that's owned by the RAAs and that fluctuate in future periods.
Graham Ryding : Okay. Thank you.
Operator: And we have another follow-up from Geoffrey Kwan from RBC Capital Markets, Jeff, your line is open.
Geoffrey Kwan﻿ ﻿: Hi. Yes  Kurt, it sounds from your comments in terms of the RAA college acquisition appetite for this year, it sounds like it's going to be kind of less active than you were in 2021 and then also in the leverage. And it also kind of sound like kind of around three times is where you have comforts and just wanted to. See if that's the case or if you have a different view on those.
Kurt Macalpine: Sure. So I'll take them in order. First off on the RAA acquisition appetite, I'd say it's the same as 2021. I think the major differences, the number of high-quality businesses coming to market, which we've seen in 2022 is lower than what we saw in 2021. So this was something that we had predicted and anticipated, given the conversations we were having through last year. And a lot of firms had indicated to us -- that have joined us that this process might have taken place in 2022 or 2023, and they've pulled it forward knowing where they wanted to go strategically to get in front of any potential tax changes that they might be contemplating. So I'd say our appetite and desire is high, but one of the things we're not willing to compromise at all on is the quality of firms that we attract through our network. I have no problem doing a number of transactions this year and have no problem not transacting this year. We're just really really focused on the quality of the business that comes into our system. As it relates to leverage, I would say the 3.1 was this very unique circumstance, closing 10 transactions in a quarter and as I said, that normally would have played out over multiple subsequent quarters. But as a result of the tax, it got pulled forward. So we did see a heightened snapshot of leverage in a very specific plan for us to get back down below 3 and settle at the 2.8 to where we are today. Going forward, we're going to continue to take the dynamic approach to capital allocation, as you've heard from Amit, privileged to have phenomenal free cash flow. And we'll use some of that to delever, some of that to take advantage of this disconnect that exist in our stock price, and some of it to pursue M&A with the highest quality firms. Now with the caveat on M&A, the sequencing in the urgency has been mitigated. The sequencing of the payments themselves will be extended back towards normal circumstances. And we now have active partnership units that will reduce our overall cash consideration. So I think the amount of capital deployed to M&A Regardless of same activity or lower activity would be would be lower as a result of those things.
Geoffrey Kwan﻿ ﻿: Okay. And my second question was, you talked about in the January, slowed data that the impact of the thematic funds, how much was those thematic funds have added to net sales in 2021?
Kurt Macalpine : I'm not sure offhand, Jeff, but it was 100s of millions of dollars and this is what's playing out right now, both in 2021 and in January, is exactly what we had hoped would play out through the launch of these funds. So I think that we had -- we were concerned when we initiated the strategy at -- we had fallen behind some of our competitors as it related to new fund launches. And I think that we feel, as an organization, that we went from back of the pack at the forefront of product innovation. And what we're really trying to do is to get ourselves in front of investors that hadn't done business with CI historically, and we use the new product innovation as a way for us to do that. Naturally when there's quicker money moving into funds, there's an opportunity for those funds to be redeemed and be a little bit lumpier. So it was a contributor in 2021. It was a detractor in 2022, but I'm not deterred by that number at all. I actually feel great about what our product lineup looks like today, and then the plans evolution we have with that product lineup going forward and you'll continue to see us strike a balance between strategic funds, thematic funds, tactical funds we want to. Make sure that we're best positioned to capture the money in motion opportunities with high-quality products across the board.
Geoffrey Kwan﻿ ﻿: Okay? Yes, because I'm just I'm trying to understand is maybe outside the thematic funds, I think about the kind of the core, the yield signature, Cambridge hardware century those friends, how those funds maybe  are today relative to over the past year, just wondering what sort of progress there has been on the flows for those -- for those strategies.
Kurt Macalpine : Yes. I mean, if a considerable improvements on a year-over-year basis, right. If you looked at we have a chart in the document that provides redemptions for the past three years, ranging from $8 billion to north of $9 billion. If you netted out all of our strategic flows from newer products, which some are strategics some are tactical. You would still see a very significant reduction in the redemptions on a year-over-year basis. And as someone mentioned earlier, might've been new. Performance has improved quite considerably. So I feel very good about the changes we've made feeding to better performance. Performance is typically an indicator of future flows. So hopefully we're well-positioned to continue to make progress on those longer standing strategic funds,
Geoffrey Kwan﻿ ﻿: Would you say those strategic funds are, overall, positive flows, or they're not quite there yet?
Kurt Macalpine : I don't have the number. I would say in aggregate, they're probably not quite there yet, which isn't surprising though by the way, just because if you think about from an industry perspective, the majority of funds flows go to funds that are newer in existence. A lot of those funds have been around for decades. They perform a great service for clients that are invested in them. There's certainly some purchases and redemptions, but I don't think it'd be surprising if we look forward to see a lot of the growth in our business coming from newer initiatives, be at our liquid alternatives, ESG funds, these thematics, crypto currency funds, and things of that nature.
Geoffrey Kwan﻿ ﻿: Perfect. Thank you.
Kurt Macalpine : Thanks.
Operator: Thanks for the questions we have time for today. So I'll now hand the call back to CEO A - Kurt Macalpine for any concluding comments.
Kurt Macalpine : Thank you, everyone for your participation in the call and we look forward to conversation next quarter.
Operator: Thank you, everyone for joining us today. This concludes our call, please now disconnect your lines.